Bilal Aziz: Good morning, everyone, and welcome to the conference call for Pandora's Third Quarter 2024 Result. I'm Bilal Aziz from the Investor Relations team. I'm joined here by CEO, Alexander Lacik; CFO, Anders Boyer, and the rest of the IR team. [Operator Instructions] Please pay notice to the disclaimer on Slide 2 and turn to Slide 3. And I will now hand over to Alexander.
Alexander Lacik: Thank you, Bilal, and welcome, everyone. As usual, I'll start by highlighting some of the key takeaways for the quarter and as you can see, we've delivered another strong quarter. I put that also in the context of a consumer backdrop, which continues to remain quite challenging. But as I've always said to my colleagues, we don't pretend to control the external macro factors, but we do control how we execute on our Phoenix strategy. That means we control how we increasingly appeal to consumers as an accessible full jewelry brand, a brand that has wide appeal across nearly all usage occasions, be it self-purchase or gifting. Our aim is to make sure we are the first brand you think of when you want any beautiful jewelry for daily use. And our numbers show that that's exactly what we're doing. You can see we delivered 7% like-for-like growth in the quarter. The composition of this growth speaks to our full jewelry brand mission. We drove stable growth in our core, whilst fueling this with growth in our other collections. On profitability, our gross margin continues to improve, a reflection of the benefits of our fully vertically integrated business model. This also allows us to maintain very high EBIT margins despite significantly scaling up investments across all elements of the Phoenix strategy. Finally, we continue to demonstrate very high return on capital, and you can see how all the KPIs lead into the end result for our shareholders; double-digit EPS growth. That's what we set out to achieve at last year's Capital Markets Day, and that's what we'll continue to strive for. Now, let's move to Slide 4, please. Given our strong performance year-to-date, we are lifting our full-year organic growth guidance towards the high end of our previous guidance range. This now stands at 11% to 12% versus 9% to 12% previously. This includes like-for-like growth of 6% to 7%, which we believe would be a great outcome with the current market backdrop. As always, we've taken a number of factors into account for the guidance, where the low end still accounts for the macroeconomic uncertainty. Our EBIT margin guidance, we've left unchanged at around 25%. We will deliver this while making ongoing investments into the business. Now, I'll provide a few words on current trading. We've started the quarter pretty well, with our like-for-like growth at mid-single digits digit levels in October. This is in line with the underlying run rate of the business over the past 4 quarters. We flagged last year that in the second half of the year, our growth was helped somewhat by higher-than-usual social media buzz and that we don't expect to repeat it this year. In that light, our Q3 growth and the way we've started Q4 is a good outcome, particularly when you look at it on a 2-year stack basis. Let's move to Slide 6. On this slide, you can see a quick reminder of the key major pillars of the Phoenix strategy. As I mentioned at the start, the Phoenix strategy centers on the core mission of transforming the perception of Pandora into a full jewelry brand and within that, elevating brand desirability. In that context, since last year, we've been investing properly behind each pillar you see on this slide and it's clearly working. And you can be assured that we'll continue alongside this strategy going forward. That leads me nicely on to the next slide. Here, we're showing some examples of our marketing efforts, which are driving Pandora forward through the restaging of the brand. Our marketing efforts will be the key unlock in transforming the perception of the brand into full jewelry brand. The brand restaging essentially aims to achieve this by driving a core message around the brand as opposed to only specific products. On the slide, you can see that the brand restaging continues to have a positive impact across our business. We are indeed driving higher traffic into our stores. That is despite still quite challenging jewelry markets around us. This is partially because our brand KPIs are moving forward, which includes both unaided awareness and consideration. So, our extra investments in marketing are yielding very good results. As usual, we've also been active across many PR events through the quarter such as Paris, Milan and London fashion weeks, which continues to drive buzz around the brand. We now go into the important holiday season, where you will notice our new holiday campaign after the successful "Loves, Unboxed" campaign last year. Keep an eye out for that. It's live in some markets already now. Next slide, please. This is a slide we've shown for the past few quarters, but it really demonstrates the success we've had so far in the brand restaging and driving growth across our many collections. Now it's still very early days on this journey, and we believe we have a lot more we can do here. However, already encouraging to see the results coming through. I'll delve a bit more into the specifics of the collection shortly. But so far, the message you should take out is that our core remains healthy and robust, and the new collections are driving strong growth. These ties in exactly what the marketing strategy sets out to do. Next slide, please. So, let's take a closer look at the core, which consists of our Moments platform, Pandora Me and our collaborations. Our business overall here remained healthy and drove 2% like-for-like growth. Here, we've continued to leverage our strong charms and carrier business, which is the core identity of the brand. We now look forward to the holiday season, where we have an exciting product pipeline. Similar to Q2, our performance in this segment was weighed down somewhat by our performance in collabs. This always goes through various product cycles, but even here we remain optimistic about the future. I'm sure some of you would have seen our new partnership with Netflix, and we've already announced a new collab associated with the popular show, Stranger Things. Finally, Pandora Me had another strong quarter, so it's good to see that it continues to establish itself within the core. Next slide, please. Here, we can see the "Fuel with more" and how it shaped up in the quarter. You will remember that our comparatives in this segment were particularly tough from last year. As I mentioned then, this was partially helped by some higher than usual social media buzz, which led some products to go viral and consequently sell out in many markets. This was mostly in the Timeless collection. So in that context, like-for-like growth of 21% in entire "Fuel with more" segment and 18% in Timeless speaks for itself. It's also a reminder that our market share across many jewelry segments is still very low outside wristwear. So, these are more long-term structural growth opportunities that we're chasing. On the lab-grown diamond collection, that plays an important strategic role not only as a collection in its own right, but also in driving home the full jewelry brand message. The halo effect I mentioned previously is important. For the quarter, we continue to make progress here with 34% like-for-like growth. This growth did expectedly moderate as we lapped the assortment expansion from last year in August. So, this will also be a feature in Q4. However, we did launch our new micro fine diamonds range, which as the name suggests is a micro-sized lab-grown diamond across new product designs. Early days, but this has also been well received. Next slide, please. In the previous quarter, I did promise a bit more detail on our performance in Essence. We have now completed the first full quarter since the launch in mid of Q2, and I'm happy to report that the collection is indeed off to a quite good start. In total, PANDORA ESSENCE already accounts for around 3% of our business. That's quite a quick ramp-up and quicker than our previous collections. PANDORA ESSENCE does play into 17% of the jewelry market of fluid and natural, where up until now we've had limited presence. Tied to that, we believe roughly half of the growth has been incremental, with new consumers coming into the brand for the first time, and that's a great outcome. By market and product category, we see a global and broad consumer interest in this new collection. Next slide, please. Personalization is the fourth pillar of our strategy and yet another area where we're investing behind and seeing good returns. Engraving is a very tangible example of this. This is nice, easy and accretive business for us. We offer in-store and online engraving across many markets now, and it's driving solid incremental growth for our consumers due to its popularity. We are well on track to have at least 1,450 stores offering these services by the end of this year and aim to have coverage across nearly all of our major markets by the end of the year. Next slide, please. Just before I cover the markets, I wanted to tie everything back together to the growth algorithm we have. All 4 Phoenix pillars work together to drive more consumers into the brand and therefore, drive like-for-like growth. In this quarter, this was a healthy 7%. But looking at that over a longer time frame of nearly 5 years, we've consistently delivered mid-single-digit like-for-like growth. We think that endorses that the 4 pillars of Phoenix are working well for us. You'll remember that last year, we entered the second chapter of our Phoenix growth journey, targeting a 4% to 6% like-for-like growth until 2026 with a range of new initiatives. We are indeed making good progress on the initiatives we announced. I also think it's important to put the 7% growth in the quarter in context of last year's tough comp base. So, that's why it's equally important to look at the growth on a 2-year stack, which is very strong at 16%. Now, let's look into the markets. As usual, I'll start with our biggest market, the U.S., which delivered 6% like-for-like growth, another strong quarter. And this is especially strong in the context of a U.S. jewelry market that is still challenging. Similar to the previous quarter, we are complementing the like-for-like performance, with our network expansion in the U.S. where there's ample white space. So, this led to a 14% organic growth in total, which makes the total performance even better in the current backdrop. Next slide, please. The performance in our key European markets is relatively healthy at 4% like-for-like. This was still driven by Germany with a 42% like-for-like growth, and this is a slight moderation of a very tough comp base. But I think you'll agree that it's still a very strong performance in its own right. We do expect the moderation to continue in Q4 this year. But as I've always said, this is a market we continue to see good runway into the mid- to long term. In the U.K., similar to prior quarter, the jewelry market remains challenged. So in that context, the flattish performance is still a good outcome for us. In Italy, our business still remains challenged. Whilst our brand metrics are moving in the right direction, we're yet to see this to translate into higher store traffic. We continue to work on and push through our full jewelry brand offering here. Finally, in France, our performance was stable, with slightly softer traffic trends as we comped some of last year's higher-than-normal traffic, which is boosted by the TikTok trends, et cetera, that was spoken about before. Next slide, please. In Rest of Pandora, we delivered 14% like-for-like growth. This performance is off a tough comp base, so it's particularly strong in that context. Our growth was helped by an improvement in Mexico relative to the last quarter. Elsewhere, growth was broad-based and generally quite healthy in most markets, including Iberia and Poland. We've consistently flagged that our comparative remain tough here, and that remains the case for the fourth quarter as well. So keep that in mind, please. Next slide. In China, our performance is minus 33% like-for-like, and is disappointing and behind our expectations. The market backdrop is not particularly helpful, but we're also aware of the challenges we are facing as a brand at the moment in the market. And so we are considering the next step of our journey here, but we remain committed to China. Finally, in Australia, our performance did improve a bit to minus 2%, albeit still in negative territory. PANDORA ESSENCE is off to a particularly good start in that market, but our performance was still weighed down somewhat by the partner channel. Next slide, please. For our network plans, we saw another strong contribution from opening new stores of 5% in the quarter. As with the prior quarter, this is still being driven by the openings we had last year, and it's good to see the sales and earnings accretion coming through nicely. We'll continue to push ahead with our store opening plans this year in '24, with an upgraded target of 175 to 225 openings this year. Accordingly, we now expect total organic revenue contribution from network to around 5% this year versus 4% to 5% previously. Next slide, please. Finally, before I hand over to Anders, I wanted to give a quick word on progress on our new store concept, Evoke. This is another area of ongoing Phoenix investment that I mentioned and yet another area, which is important to drive our full jewelry brand vision. Some of you visited our new flagship store in Copenhagen recently. That is somewhat of a unique example, but the same principle holds. We're on a journey to truly elevate the in-store brand experience. And this plays a huge role in the way consumers perceive us. You may ask what does success look like in the new store concept, and there's both a soft and a hard answer. The soft answer is simply the consumer feeling. When you walk into a Pandora Evoke or in some cases, the flagship, you'll be able to feel and connect to a total branded jewelry experience with a touch of a desirability. The hard answer is we expect consumers to engage more with the brand and across all our collections. Over time, that should lead to higher like-for-like growth. So overall, we've continued to make quite good progress with our Evoke openings, which now stand at 295. We're tracking well on our ambitious target, I should say, by 2026. And on that note, I'll hand it over to Anders for a closer look at our numbers.
Anders Boyer-Søgaard: Thank you, Alexander, and good morning, everyone. Please turn to Slide 21. Alexander already gave you a quick snapshot of the quarter at the start, but I'd like to stress his message that the third quarter was a good example of how we can compound growth in a difficult environment, deliver solid profitability at the same time and then see this filter all the way down to drive strong growth in earnings per share. As you can also see here on this slide, our gross margin remains above 80% for the second quarter in a row, and that's despite a 40 bps headwind from commodities and foreign exchange. And obviously, this means that the underlying margin drivers are indeed tracking quite well. And this trend of an underlying gross margin improvement has been a multi-year journey and testament to the structural efficiencies that we have been driving out of our crafting facilities in Thailand, combined with lifting our ASPs higher step by step. And obviously, channel mix helps a bit, of course, here as well. I would also like to highlight that our working capital improved to around 6% of revenue, as you can see in the table. And a big part of this improvement is linked to inventories, because our inventories in absolute terms are actually flat versus last year despite the 14% increase in the top line. And this all leads into a quite capital-efficient business and supports the strong return on invested capital that you can also see on the slide here. Next slide, please. Now, a closer look at the revenue performance in the quarter. But Alexander has already covered the like-for-like performance and the network expansion. So, I'll just speak a little to the bucket called sell-in and other in the bridge here. And the pink element in the bridge was a small negative impact of around 1 point in the quarter. And that was as expected and as already guided last quarter. And the minus 1 point of growth was largely due to just normal phasing between quarters, combined with a continued weakness in the multi-brand channel. For the fourth quarter, we expect a similar drag of 1 point, and this is already reflected in the organic growth guidance, of course. Next slide, please. On the EBIT margin, our performance played out in line with our expectations, and we are well on track for the full-year margin of around 25%. We previously said that the margin here in Q3 specifically could be down up to 100 basis points. And as you can see, it ended down 40 basis points. And you should consider this 40 basis point drop as phasing only. As Alexander mentioned, we keep investing behind the Phoenix strategy, keep investing in current and future growth. And let me add a little bit more color to this. Our marketing spend in the quarter was up 11% in absolute terms. And as you can see in our P&L then, marketing spend in percent of revenue is in line with last year. But this indirectly means that all of the leverage we are getting from the network expansion is being reinvested back into marketing. And that is a conscious choice and the return on the media investments are good, as you can see on the top line, and it's both driving revenue here and now, and at the same time, building and strengthening the brand. On sales and distribution costs, you'll see in our P&L that an increase to 40% of revenue this quarter, and that's up 250 basis points from last year. The majority of this, around 160 basis points is simply a direct link to the expansion of our own store network. And it's important to note that this increase in sales and distribution costs associated with the network is more than offset through, both a higher gross margin as well as leverage on the 2 other OpEx lines. So in other words, and this is just to repeat the message that we've said a couple of times, the network expansion is EBIT margin accretive already from year 1. The other main components behind the increase in sales and distribution costs in the quarter includes our investments, for example, into engraving, both in the stores and online, investments into the new online platform, which is going live in the first market exactly as we speak and also investments into our new workforce management system for the stores. And these digital tech investments accounted for around a 60 basis points increase in the OpEx ratio in the quarter. In Q4, you will see a smaller increase in the cost ratio than what we've seen here in the third quarter. And in Q4, the increase in the sales and distribution costs will, to a large extent, just simply reflect the network expansion. Now then let's move into the guidance update on Slide 25. As Alexander mentioned, we have narrowed our organic growth guidance to the high end of our previous guidance to now being 11% to 12%. And that's the green bar that you see in the middle of the slide here. And within this, you'll see that we have narrowed our like-for-like guidance to 6% to 7% versus 5% to 7% before, and that's the first gray bar. And I'm sure that most of you have figured out now that this implies a roughly 2% to 5% like-for-like growth here in Q4. And that is an implied slowdown, you can say, versus the 7% like-for-like in Q3. And we wanted to give you a few pointers that will help frame our thinking about that. First of all, the low end of the implied guidance at 2% like-for-like is the same as we said last quarter. And we understand if you think it looks low relative to what we have been delivering so far. However, we are still mindful of the uncertain external environment and the geopolitical uncertainties. And unfortunately, none of these uncertainties have diminished since last quarter. So therefore, the low end still accounts for a potential and sudden weakening of the trading environment relative to today. Secondly, the 5% like-for-like growth at the high end of the implied Q4 guidance would be a great outcome in our book because you remember that last year like-for-like was 9% in Q4, and it was lifted by an extraordinary level of social media activity. We don't expect that to repeat this year. And we have consistently flagged that the underlying run rate of the business is around mid-single-digit like-for-like levels. And that's also where we -- how we started out Q4. And therefore, it all ties in well to our current expectations and implied guidance for the quarter. Next slide, please. Now, on the EBIT margin, we are keeping that unchanged at around 25%. And you'll notice in the bridge here that the FX and commodity headwind now stands at 50 basis points, and that compares to a drag of 10 basis points initially when we made the guidance at the beginning of the year. So, that's an incremental 40 basis points of headwind that we have been able to absorb this year while investing into the business. On a year-to-date basis, the EBIT margin is in line with last year at 19.4%. And then you can calculate that the guidance thereby implies a Q4 margin, which is slightly up versus last year. And this is all in line with what we have been saying throughout the year. Next slide, please. Now, we need to spend a bit of time looking at the recent surge in silver prices and gold prices and how that impacts our EBIT margin for 2026. The 26% to 27% EBIT margin target, which you can see here as the second black bar in the bridge was set at the CMD in October last year, as many of you probably recall, and it was based on an assumption of a silver price of $24 per ounce. And that compares to the price of $33 a couple of days back, which is the assumption behind the slide here. So, when that increase in the silver price is combined with the latest gold price and foreign exchange rates, it adds up to a headwind to our EBIT margin of 360 basis points. And that's the 2 pink bars that you can see in the bridge. So now let's talk a little bit about the potential mitigating actions to offset the 2 pink bars. And the mitigating actions is what we're trying to illustrate with the 2 gray bars to the right in the bridge. But first of all, let me be clear about how we approach this as a leadership team. When external factors like this change, then you can choose just to accept it and then take down your target. On the other end of the spectrum, you can choose to use this external push, so to speak, as an opportunity to look broad and deep on how you operate your business. And we are taking this latter approach. This will, of course, take a little time, so we can't give you an answer today on how much we can mitigate, but I'll take you through our thinking as of today. First of all, that's pricing. And as mentioned back in the second quarter, a decent part of our mitigation will be covered by additional pricing. We just increased prices by an average of 5% here in October. It's still too early to comment on the impact of that, not the least because some of our markets have only been live with the new pricing for around a couple of weeks. So, we have to see how this evolves, and then we will revert with more detail at the full-year announcement. You should also be aware that with the current price of silver, we will be taking further pricing action in 2025 over and above the normal 1% to 2% of price increases that we are doing every year. We also want to reiterate that we will not be compromising our brand promise of being accessible. But equally, when we look at the current price of silver and gold, combined with the fact that our brand is in a much healthier place, then we will continue to use pricing as a tool to help overcome this commodity pressure. In addition to pricing, we have now just started a group-wide cost program. And in order to be able for us to go deep and broad at speed while at the same time, challenging ourselves on how we operate, we have engaged with a consultancy company for the program. It is very early days, and we will update you on the potential as we progress with the program. However, we would like you to know that the impact of any additional cost measures is likely to be mostly visible in '26 onwards rather than in 2025. While we are taking a hard look at costs, we will not be compromising our growth algorithm, which has served us so well over the past 5 years. We will continue to press ahead with investments that will drive near-term and long-term like-for-like growth. Having said that, our track record on maintaining solid profitability is good, at least in our own humble opinion, and we take the current cost headwind very serious. So as it stands today, we can confirm that we expect to cover at least 140 basis points of the current headwind. And this is in line with what we said back at the second quarter announcement. And that's the first of the light gray bars to the right in this chart. On the potential to mitigate the remaining 220 basis points, that's the last gray bar, it is too early to say. But another way to look at this bridge is that saying that without any further mitigation, then the EBIT margin in 2026 at the midpoint would be just around 24.5%. And the way to calculate that would be the original EBIT margin target of 26% to 27%, less just around 200 basis points of net commodity and FX headwind. So, that means that at the midpoint, the EBIT margin in 2026 would be in line with where we are basically operating now and have been operating in the last couple of years. But again, this is without any further mitigating action on top of the 140 basis points that we have already identified. So in a way, you could call that a worst-case scenario that we just keep having an EBIT margin just around the 25% or maybe just below the 25% EBIT margin. So, let me conclude by saying that it's obviously quite some margin headwind we are facing, but we are addressing it and we are addressing it forcefully. We will revert at the full-year announcement with some more details on how much and how fast we can mitigate. And with that long voice over to the slide here, I'll hand it back to Alexander.
Alexander Lacik: Thanks, Anders. So to try to conclude on everything, in a quite uncertain world, we are very successful in doing what we've done since the Phoenix strategy. Simply put, that's driving more consumers into the brand by driving our full jewelry brand mission. We have ample growth opportunities ahead, and we keep investing behind them today already to ensure we capture more than our fair share. And if we stay true to these promises, then we will continue to drive strong EPS growth even in a tough environment that you saw during the third quarter to say something. Now, we look ahead to the important holiday season where Pandora typically has a pretty good spot. And on that note, we will open for questions.
Operator: [Operator Instructions] The first question is from Martin Brenoe from Nordea.
Martin Brenoe: I have 3 quick ones, please. The first one is maybe just how we should see the gross margin and EBIT margin transpire from now to 2026? I guess, you have the hedged P&L impact. 50% in Q1 to Q3, which is around just shy of USD 25. And is the rest then just at the spot price around USD 30 to USD 32 if nothing changes? That is -- that would be the first question. And then secondly, on China, you have lowered your promo. Is this the first sign of a resignation in China throwing in the towel? Or is this just a temporary setback that you're seeing? Or is it more that it's a part of you trying to mitigate the margins a little bit as you don't get the return on the investment that you're spending? And then just lastly, Signature is clearly the biggest drag on your performance and seeing a double-digit decline. Can you maybe explain to us what's going on with that? Is that a cannibalization from ESSENCE? Or is there something else going on?
Anders Boyer-Søgaard: Yes. Martin, I think the answer to the first question is quite simple. Yes, you're right that, that will be the way to think about it. We've hedged from a P&L perspective, 50% of the first 3 quarters next year on silver and gold. So, that's roughly 30% of the full year. So meaning that for the remaining 70%, we should think the current spot price of silver and gold.
Alexander Lacik: Martin, on China, I mean, it's neither of the suggestions you had. It's simply trying to clean up the brand and push more sales, which is full price sale on having less, let's say, dependency on promotions. So it's a bit of a tough one when the market is tough, the brand isn't in the perfect place, but we think it's necessary to slowly, slowly start detoxing the brand and then moving it towards a healthier place. On Signature, it's not cannibalization. This is simply -- it received a much lower focus within the collection structure. We had to kind of make some decisions from a merchandising standpoint and placement standpoint. So, this is an expected decline, let's say. So that's it.
Operator: Next, we have Thomas Chauvet from Citi.
Thomas Chauvet: The first one on your price action. Last time, you increased prices above the guidance, I think was a couple of years ago with 3%, 4% overall impact. I recall at that time, you said we need to remain affordable. So, we're touching only the top end of the pyramid. You did 10% price increase on 30% of the assortment also and the elasticity was one. How did you apply that 5% pricing in October? Was it also just on the top of the pyramid? Was it more broad-based, including touching the entry-level charms? And what elasticity are you anticipating compared to last time, obviously, considering the subdued demand environment in most European markets or Australia? Secondly, coming back to the commodity headwinds, Anders. Can you come back on why hedging was paused in March? Back then silver price was around $24 per ounce and your CMD assumption was $24. So, why would you have stopped? I think you explained that last time, but I may have misunderstood. And now at $33, how you're thinking about hedging the end of '25 and beginning of '26? I understand the first 3 quarters will be unhedged for half. But what about beyond that? Would you resume hedging in this perhaps more uncertain world post U.S. election? And what is the incremental P&L cost to resume hedging? I think that was perhaps one of the issues you highlighted in that in the summer.
Alexander Lacik: I can -- on the -- first one on the pricing actions, what we've said in the past is we're not throwing darts in the dark. So, we have simulated all of the pricing actions that we are doing. So, we have a certain level of confidence when we do it. And this time around, it was a bit more broad-based than just the top end of the market. The assumptions we make from a, let's say, financial standpoint is that we assume an elasticity of minus 1. If it's better, happy days. But from a kind of prudent standpoint, the math is minus 1%.
Anders Boyer-Søgaard: And then thanks for the question, Thomas. On hedging, yes, you're right that we -- when the silver prices started getting to high-20s back in spring, I think it got to the 28 level in April, May, then we made the decision to not do further hedging. And our standard policy that we basically always -- most of the time is to hedge automatically 12 months out on a monthly basis. There's 2 times that we have deviated from this. One was back in just when the COVID broke out, where we hedged a bit more. And now we have been hedging a little bit less. And you can ask why did you do that when silver prices got to the high-20s? One of the reasons was that we did speak with a number of different commodity experts. And I think the general feedback that we got was that this is not demand driven, but due to more driven by speculative demand, not physical industrial jewelry demand, but driven by speculation. And combined with the fact that it's quite expensive to hedge silver, if you hedge 1 year out, it's $1.2 or at least at that point in time, $1.2, $1.3 per year of hedging, which felt that when you have to pay a very high insurance premium to hedge something, which is already expensive, combined with the feedback that we got from the people that we spoke with made us do some -- a temporary pause. Having said that, since then, we have been hedging a little bit on the dips. As an example, back in very early August, there was a dip down to around $27 per ounce. We took that opportunity to hedge a bit more. And that's why you can see now that we've actually hedged half of Q1, Q2, Q3 of next year. We will be resuming hedging. And I think we all have a desire to do that when we go out and guide for 2025 in early February that we have a decent amount of certainty on silver and gold for 2025. So, I think that that's how I would phrase it.
Thomas Chauvet: And just that 220 bps shortfall in EBIT margin that you showed on Slide 27 on your margin bridge to '26. Is it a shortfall, assuming some hedging normally resumes for '26, or that kind of by the dip is tactical hedging? So, I just want to understand -- because your slide basically says the 2 key initiatives to mitigate that shortfall are price increases and the group-wide cost program. So, does it mean that hedging is not going to necessarily be in place for '26 on that chart?
Anders Boyer-Søgaard: No. The way this is built is assuming that if silver stayed at where it was when we finalized this slide at $33 per ounce and range that, and we start hedging as normal, then this would be the headwind that we would see, assuming that we can't find further mitigating actions in the months and quarters to come. So, we will come back at a point in time hedging just as normal. It is only in very unusual circumstances that we will deviate from just sort of being on the autopilot on hedging.
Operator: And the next one we have is Lars Topholm from Carnegie.
Lars Topholm: Congrats with the solid report. A couple of questions also from my side. And I'm sorry, but they're also about margins and mitigation. So, just to understand the Slide 27 correct, 140 bps confirmed, 220 bps missing. So the 140 bps, is that including things you have already put in place? So the 220 bps gap assumes there's no mitigation in 2025. And in that context, when I look at the 5 last quarters, you have this very nice gross margin bridge in your quarterly reports. On average, you've had mitigation of around 200 bps. When we look ahead without discussing specific initiatives, are there any reason we should think your ability to mitigate should be different than the 5-quarter average? That was my first question. And then the second question going back to pricing. So when we looked at the price increases you made in the U.S. around 1st of October, it was actually in all the low end of your product range. So, I think we calculated it at 4% on average, which means it's more than 4% on the low end. So, I just wonder if you can put some words on. Alexander, I think you alluded to it that you don't throw darts in blind. So how have you actually tested this? And can you comment on how it had worked in the U.S. in October where you now have 1 month of data?
Anders Boyer-Søgaard: Lars, thanks for those 2 questions. On the first one, the 140 basis points, that includes the impact of the 5% price increase that we've already done. And on a run-rate basis, assuming that the elasticity is one, that's our baseline, then that's around 100 basis points of that 140 basis points. So, you can say that the majority of the 140 basis points has already been done, but where we still need to sort of see some more months of trading to confirm what is exactly the elasticity. But assuming, that it's one, then that will cover the first 100 basis points of that. Then the remaining 40 basis points is largely pricing as well. There's a little bit of cost in it that we have already identified, but the majority will be an assumption that we would do a bit more on pricing next year on top of this 1 point to 2 points that we are doing under the normal circumstances, so to speak. And on the drop...
Lars Topholm: Anders, in that context, what about efficiency gains and what about network changes? You're still expanding your network. And I assume you're still taking out efficiency gains in Thailand. So, how does that play a role here? Or doesn't it play a role in the chart? Or can you no longer improve efficiency? And network expansion is now a neutral suddenly?
Anders Boyer-Søgaard: No, not at all. And it's a good point, but it already sits in the bridge. So when we -- all of that, if I can call it, business as usual, already sits in how do we get to 26% to 27% in the original targets. And if you go -- so, yes, that's the way to think about it.
Alexander Lacik: On your question, when we say that we are going to go with 5%, this is a weighted average from the geographical choices we make on the various collections and the various price points. That's all thrown into this modeling that we do. And also then when we get out of it is that we try to moderate this, so we get to this minus 1% elasticity that we've been speaking about. The way we test this is a methodology we developed ourselves and it's an online method. I won't go in too much detail because we think this is actually a bit of a competitive advantage, we have that we can model it. But it is testing with consumers online in real terms, and therefore, we can get enough data points to give the model some statistic validity. And I won't share more than that. But that's kind of -- and on the previous price increases, we pretty much landed within kind of a sensible range of what the model predicted. That's what gives us the confidence to do what we are doing.
Lars Topholm: One very quick household question. I know it's #3, but if the dollar goes strong versus DKK, that's positive for your margins, isn't it, as far as I remember?
Anders Boyer-Søgaard: Yes. It's -- that's net positive. Of course, we have -- we buy silver and gold in U.S. dollars as well. So, that drags a bit the other way. But net-net, a strong dollar is good for Pandora. The next question is from Anne-Laure Bismuth from HSBC.
Anne-Laure Jamain: Yes. I have 2 questions, please. The first one is on pricing. Just to come back on the fact that you mentioned that you will increase prices in 2025 above again and above the regular 1% to 2%. Is it that same model that you talk about that is giving you confidence that you can raise prices again next year? What about the strength of the brand? So is it that -- is the fact that the brand is stronger that is giving you confidence that you can raise prices further again next year? And will be the timing similar to this year, so around October? And the other question is about the customer recruitment. So with the new strategy or the brand transformation that is ongoing, are you seeing recruitment of more new customers? I recall from the past that you said that the split is between 1/3 new, 1/3 existing and 1/3 unidentified. So, have you seen an increase in the recruitment of new customers with this new strategy?
Alexander Lacik: Yes. I mean, I think on the first question, you really answered it yourself. If I didn't have the confidence, obviously, I wouldn't go. So, I mean, that goes without saying. But we are now launching the pricing in October, and we are reading the impacts of this. And of course, then we'll take the learnings of that, right? When we do our pricing testing, we test typically at 3 different levels. So it's a small increase, it's a medium increase and it's a big increase. We rarely go with the big increase when we have done it in the past on certain items, which have been kind of, let's say, wrongly priced or some other pricing opportunities, then there's been a few of them. But generally speaking, we would go with the low or the mid option. So, we know that there's headroom left to go more. But now let's see how this one works first. On the customer recruitment, these are quite slow trends and the 1/3, 1/3, 1/3 that you mentioned is still holding true. So nothing new to report there.
Operator: And the next one we have is Grace Smalley from Morgan Stanley.
Grace Smalley: My first one, please, would just be on -- just to be very clear on the margin commentary on 2025 EBIT margins. I think previously, you have mentioned like an expectation for that to be flattish. Obviously, now we have an increased headwind from commodities and FX into next year. And I understand you have done the 5% pricing and you're planning to do more for next year, but on the extra cost savings from the consultancy, it sounds like we should expect that more coming through in 2026. So, could you just help us with, as of everything you know today, what you would expect from 2025 EBIT margins relative to around 20%, 25% -- sorry, 25% this year? And then my second question would just be on that cost program with the consultancy that you're bringing in. I think you had already done quite a lot of work on your cost base in previous years. So, could you just help us with kind of the sense of, like, the potential buckets of cost savings that consultancy will be charged looking at?
Anders Boyer-Søgaard: Grace, thanks for those 2 questions. On the margin for next year, I'll start off by saying that it's too early to guide on next year. But you're right that we have previously -- when silver prices was lower, pointed you towards thinking about next year as being flattish. But -- so a couple of pointers that we can give even though -- even without guiding, but then helping a little bit how to think about next year. Then of the 360 basis points of headwind in total by '26, around DKK 240 million of that will hit the P&L in 2025. Again, this is before any mitigating actions, DKK 240 million. And one of the reasons it all doesn't flow through to the P&L is because we have partly hedged silver and gold for the first 3 quarters. So that's the first part of the equation. And then we -- of the 140 basis points of mitigation that is kind of confirmed, a decent part of that will help the P&L next year, not all of it, but quite a decent part. So, I think net-net, at this point in time, the way to think about it would be that the EBIT margin next year could be up to around 100 basis points down compared to where we are currently trading. And then we need to see how -- to what extent we can mitigate more on top of that. But that's the starting point, how to think about it. And then on the cost program, yes, you're right. We have trained and practiced on doing similar cost programs as part of program now back in '18, '19, '20. And it's kind of a similar thinking setup that we are taking this time around. As I mentioned in the prepared comments, we're taking a broad deep view on how we do things and how we spend our money. It's a bit too early to talk about where and how we can save money. But obviously, given that we're not establishing a program like this, if we had thought that there's nothing to come for. We have some ideas in the back of our mind that we want to look into. But we'll give a bit more flavor to that when we get to the full-year announcement.
Operator: The next question is from Antoine Belge from BNP Paribas.
Antoine Belge: It's Antoine at BNP Paribas Exane. Sorry to follow up on the previous question on the margins. Thanks for saying that a sort of worst-case scenario would be margin down to 24%, but then reaching the low end of the 2026 guidance, which is 26%, then would mean 200 basis points, whilst you just also said that there would still be 120 basis points of drag in 2026. And yes, I understand there is a bit of the 140 basis points that could flow through to 2026, but it seems that a 200 basis point gap or improvement year-on-year in 2026. I mean, it sounds a bit hard to achieve. So if you could maybe elaborate a little bit on that. And the second question is on the lab-grown diamonds performance. In a nutshell, if I say, it's a bit disappointing. And is it a fair comment? Or is your answer going to be a bit the one you provided on the previous question on Signature, i.e., that there are lot of opportunities at Pandora and limited space maybe in stores, et cetera, and then you had to make choices, or the consumer made some choices? Yes, that's -- I found the numbers a bit light.
Anders Boyer-Søgaard: Antoine, it's Anders here. On the first question, I think this -- the answer to your question goes back to the CMD in '23, where we said that the starting point was an EBIT margin of 25%, and then we will be operating at that level. But then come 2026, the way that we have planned Phoenix with the investments that we are doing, then at the back end of the strategy period, you will see operating leverage, and nothing has changed on that. So haven't we been looking at this commodity headwind, we will be at 26% to 27% EBIT margin in 2026 because that -- all the drivers behind that operating leverage are fully intact. So that's still the plan. But I understand your question when you look at it sequentially like that, but that, yes, goes back basically to what you have to the left of Slide 27, the network expansion and the sort of operating leverage net of investments that will start being visible when we get into 2026.
Alexander Lacik: Okay. On diamonds, I'll leave it up to put the objectives on the performance. But what we're doing with the Microfine is, we are seeing that the -- even before the Microfine, we can see that the large proportion of volume of customers, they tend to come in on the lower carat sizes. So 2/3 of our customers actually buying in the, let's say, opening plus some price points rather than on the biggest ones, which is quite understandable. I appeal to an average household -- income household and they don't want to splash out $2,000, $3,000 for a diamond ring, but spending $300, $400, $500 seems to be more of a volume business. So what -- if you look at the like-for-like growth revenue-wise, it was indeed plus 35%, which is pretty okay in my book. From a unit standpoint, it was up 48%. So we can see that there's a mix shift happening in favor of, again, price points which seem to play more in tune with my customer base. So, as I said, whether you think it's disappointing, I'll leave for you, but 35% like-for-like on top of last year where we literally tripled the assortment. This year, there was only 13 extra DVs, which is driving this. So we are quite pleased with this. It has not changed our ambition on diamond. We have not ranged a bit less space or any of the things that you suggested. So we are kind of still fully committed on lab grown. But as I said all along, this is a long game for us. It's a new segment. It's a different price point. It's a slightly different purchase, let's say, experience than we do on charms or the other items that we have in the assortment. So we're quite pleased with this.
Antoine Belge: Okay. Maybe a follow-up, if I may, because we've been talking a lot about the margin and not so much about the top line. For instance, going back to the Capital Markets Day objective at the time, the space was supposed to be contributing around 3%, and we are more trending at 5%. So is it fair to assume that in 2025 and 2026, it could be maybe somewhere in between around 4%, but like at least 1 point more than the 3%? And I remember also that during the trip in Thailand, you had mentioned that there would be other top line opportunities, maybe in multi-brand or wholesale opportunities. So, yes, I mean, if you could comment maybe on those?
Anders Boyer-Søgaard: Yes. But it's a good call out, Antoine. And you're right. But we were -- when we looked at mitigating the headwind from commodity prices, we didn't want to bang it on more top line growth. We wanted to have more of, I wouldn't call more solid measures behind it, but other types of measures than putting the hopes on even higher top line growth, even though network expansion is different from like-for-like, obviously. Having said that, those 2 top line and bottom line drivers are fully intact. It is something that we are looking at both network expansion and our multi-brand network. And it's a bit too early for us still to guide on whether that's going to have an impact, but we wanted to build -- try to build a plan where we can potentially mitigate without even higher top line growth. We'll talk a bit about at least on the network side when we do the guidance in February in a couple of months for next year.
Operator: And the next one we have is Andre Thormann from Danske Bank.
André Thormann: Just 2 follow-ups. I realize you have spoken a lot about this. But first of all, around the hedging policy, just to be sure, when do you expect to go back to normal, so to speak, on that? And then the second thing around the elasticity. Now, you mentioned that it should be minus 1 on the elasticity. But I think in Q2, you said that it might be lower or yes, basically better-than-expected potentially. So in this offsetting mechanism of 140 bps, there you assume minus 1 on elasticity, just to be completely sure.
Anders Boyer-Søgaard: Andre, this is Anders here. On the hedging, I'm a little bit hesitant to put an exact date on when we go back to normal, if I can call it that, also given that we are a pretty big player in the market. But I just reframing or repeating what I said earlier on, I think we would like sitting on the Pandora side, and I think many investors and analysts as well would like that when we guide for 2025, we have a decent amount of certainty, i.e., a decent amount of hedging in place for 2025. So that doesn't sort of within the year become a swing factor. So that leaves somewhere between now and what is it, Feb 6 next year when we are announcing the full year numbers. And on the elasticity, you're right, the 140 basis points is based on an elasticity of 1. And then we'll see how the next couple of months plays out and see whether that is better than that or the other way around in principle, but we'll see whether it's better than that, but too early to talk about at this point in time.
André Thormann: But, yes, maybe just a follow-up. So didn't you at Q2 say that there was -- it could very likely be better than 1?
Anders Boyer-Søgaard: I think we've given the brand metrics. I think we had a hope, let me just frame it that way, that it could be better. We had done -- had 1 country where we have done something earlier in the year outside of the 5% price increase that we've just done where elasticity looked a bit better than 1. And that was probably what we referred to back then. So let's see how it plays out for the next couple of months.
Operator: The next one we have is Kristian Godiksen from SEB.
Kristian Godiksen: I'll just start with the 2 questions. So first of all, in relation to the upcoming cost program, what is your view on the saving you mentioned, [ Andres ] yourself, the program now as a reference? And as I recall, you aimed at saving DKK 1.6 billion and achieved DKK 2.4 billion. Yes. So that would be my first question, just using that as a reference point. And then the second question is, if you could please put some more flavor on the issues you are seeing in Italy with the like-for-like deteriorating somewhat? And ideally, if you could isolate that obviously from the weak macro environment? Those would be the 2 first questions.
Anders Boyer-Søgaard: Thanks, Kristian, for those questions. On the cost program, you're right, yes, the DKK 1.6 billion and DKK 2.4 billion from back then. And I think -- and I'm also looking at Alexander here. I think when we look started back then, we were, of course, both relatively new in the company, and there was more low-hanging fruit to go for at that point in time. So I don't think we shouldn't put our hopes up for anything anywhere near those kind of levels, but less can do. DKK 2.4 billion was a very, very big number on a smaller revenue base at that point in time. But obviously, we're not putting a structure in place with external Tier 1 consultancy support if we were thinking that we could find DKK 50 million or DKK 100 million, it has to be more than that in order to sort of get this big machine running that we've just kicked off Monday this week, in fact.
Alexander Lacik: Yes. And on your second question on Italy, I mean, it is mainly macro in our view. I mean -- and we've said this in the past, the larger the market share we have in a country, the more we fluctuate with the consumer sentiment for the category. And Italy is one of the place where we have the most mature of our business and one of the largest market shares. So this is the main -- there's no structural issue in Italy as such, not that we have found anyway. So it seems to be more linked to the general sentiment, consumer sentiment and the category development in Italy.
Operator: The next one we have is Piral Dadhania from RBC.
Piral Dadhania: So could I maybe just start on pricing as well? I just wanted to understand the sort of thinking behind the price increases. If you do a similar 5% price increase in '25 versus '24 and you have a demand elasticity of 1, then you're losing 1 unit or 1 percentage of volume for every percent of price you take on a mid-single-digit like-for-like, that basically assumes that most of your revenue growth will come from pricing and ASP gains on -- if we are assuming sort of where consensus is. That suggests that this becomes a bit more of a price-led revenue growth story and you're losing perhaps some of your customer base who are being, to an extent, priced out on the basis that you assume the elasticity is 1. So my question is as follows. Are we moving towards a bit more of a margin protection story at this point for Pandora with maybe a slightly less emphasis on the customer base and the sources of revenue growth, which we, I believe, at the beginning of the Phoenix strategy was predicated as much on volume as anything else? And just following up from that, if silver prices do come down back to pre-2024 levels, is there a scenario in which you would roll back the price increases that you've done?
Alexander Lacik: Okay. Let me try to give it a go. I mean, I think your assumption is on a constant customer size, then the minus 1 works, right? But what has been the driver of Pandora in the last -- I mean, ever since I got here, is to increase that, which is why we said we're not going to dial back marketing. We're not going to dial back innovation and all the things that sit under the Phoenix umbrella. So that's then how we continue driving growth through traffic increase. So that doesn't change necessarily. Now, on your other question on, would we consider rolling it back? Let's cross that bridge when we get there. I only wish silver went back to $16 per ounce because then we'll be having a different conversation than today, but that's probably something of a bygone area. But yes, I mean, we need to continue to stay accessible as a brand. I'm just looking around recently, we've seen a couple of our competitors have also moved on their pricing. So we're not alone feeling this. So I think the whole market is fortunately, unfortunately rising due to the increase in silver price. But I think there's one thing I just wanted to mention that Anders spoke about before. So since we moved from this '23 level, based on everything we see, there is no increase in demand. So there's not more silver being used than yesterday. It's just the price has gone up on speculation. And at one point, typically, over economic cycle, this needs to write itself. So if you take that longer view, there should be some hope for the price to settle maybe somewhere lower than what we're currently facing. But, of course, that's hopes, and we're not building this company based on hopes that we have this very, very firm action to mitigate the exposure we see in front of us. But under normal circumstances, one would expect that there should be kind of a normalization in the marketplace. But yes, let's see if that happens, if we then take some action. It could also be a question of maybe we then launch ranges that are priced differently than the current one that already sit in the market and are successful. So there are different ways to play this instrument. So I hope that helps a little bit.
Operator: The next question is from [ Dimitris Dimitriou ].
Unknown Analyst: My first question was on the elasticity of 1% that you mentioned. I just wanted to check historically, have you experienced when you implemented price increases in the past, have you experienced a bigger number than that?
Anders Boyer-Søgaard: No. I think the long -- the short story of potentially longer story is that, up until '23 we didn't do a regular price increases. So the first price increase was at the back end of 2023. So we've done some -- but since then, what we have done, we have seen elasticity just about 1 point, the minus 1-point level. So that's -- yes, just to reiterate, we have 10 years of history on that. And that's also one of the reasons that we are speaking about the mitigating actions in the way that we do. So -- and the reason why we use minus 1 as the starting point.
Unknown Analyst: Okay. And as you enter 2025 with this 5% increase that you implemented in October, I understand. How does that change the price gap with your main competitors? Does it keep it relatively stable, increase it or decrease it?
Alexander Lacik: So let me just come back to your first question first. Obviously, the brand has strengthened significantly in the last 5 years. And when your brand strengthened, that obviously gives you an improved pricing power. So it's not a static game and in particular in the Pandora situation where we have improved massively the strength of the brand. So that kind of gives us confidence. I mean, we don't have at least not a global direct competitor. So to answer your question, I would need 2 hours to go country by country looking at each local competitor. As I mentioned, what we've seen recently by some of the people in the market, they are also moving up on pricing. So I don't think anybody is immune to the doubling of the raw material cost. So one should expect that there's going to be movement on pricing across the markets.
Unknown Analyst: Okay. And then my last question was on hedging. If you were to hedge end of 2025 or beginning of 2026 based on current spot prices, just to understand the implications on P&L. So how much of an impact would the hedging cost per se have on your P&L?
Anders Boyer-Søgaard: Yes. As of today, I think the -- if you hedge 1 year out, I think it's just around $1. I'm just looking at my colleagues here, $1 per ounce. Yes. So that's 3% hedging premium -- insurance premium, so to speak, when you're hedging 1 year out. And not on the revenue, of course, just to make that absolutely clear, it's 3% of the silver and gold consumption, yes. So just to make sure we translate that into absolute numbers, that would be DKK 70 million per year, something like that. But remember, a lot of that sits in the base in '24 already because we were already hedged in 2024. So it's not year-over-year, it would not be an incremental cost.
Operator: The next question is from Ben Rada Martin from Goldman Sachs.
Benjamin Rada Martin: It's Ben from Goldman. Two, please. First one was just on, Alexander, your comment that some of the competitors are moving on price. I'm interested if there's any particular regions or price points that you're seeing this? And do you think this is a positive for market rationality? Or are you still seeing some promotional activity out in the market? And then second would just be on October commentary. I wonder if there's any major changes to call out between the regions.
Alexander Lacik: So from a promotional activity, we can probably say that Q3 has been a bit hotter than a normal quarter, if that's what you're asking. We've seen, for instance, in U.K., a company from Austria, which I'm not going to mention the name of. You can fill in the blanks. But they went on a mid-season sale, for instance, which they didn't do prior year. So just kind of to give a little bit of context. So yes, so I would say that promotional activity has probably been more higher, let's say, in Q3 than year-on-year. I think that was the question you asked. And what is the second one? By regions.
Bilal Aziz: I'll take that. So on current trading by region, Ben, nothing really to call out. We don't go into specifics by the month anyway. But for the purpose of conversation, it's all broadly quite stable as we saw in Q3 as a starting point. October is small, the smallest in the quarter. So we've got a lot ahead to look forward to.
Benjamin Rada Martin: Excellent. And, Alexander, just on the first question, also just interested the players that you've seen increased pricing as well. Is there any regions or particular price points that you've seen your competitors move higher due to the commodity prices?
Alexander Lacik: I mean, we are still -- this is kind of happening live as we speak. But where we mainly have some level of tracking is in the Western world, let's say, Europe and North America. So in some of our key markets, we have noticed that there's some pricing action that's been taken.
Operator: Next, we have a follow-up from Lars Topholm from Carnegie.
Lars Topholm: You'll be happy, it has nothing to do with pricing or mitigation. But ESSENCE, after a good start, just wonder if you can comment on how, you see the development of this collection. Have you already planned to expand it? Or is it going to stay the current numbers of SKUs? And then a second follow-up is on some of the new markets. I think, Anders, you mentioned after Q2 that the ambition was to open 40 to 50 stores in Japan H2 this year. Just wonder what the status is, and how your Q3 performance was in Japan. And likewise, you were also in the process of signing a distributor in India. I also wonder what the status is on that.
Alexander Lacik: On ESSENCE, I mean, listen, Lars, it's early doors. But, of course, when we launched it, we already had a year 2 plan in place on the assumption that indeed, it would deliver what we expected. So yes, there will be something coming to expand it next year. Yes, that was ESSENCE, right?
Anders Boyer-Søgaard: Yes. And then on the stores, I think from memory, so far in Japan, we have opened up just about 10, 13 shop-in-shops. The majority of those stores in Japan will be shop-in-shops or 13. And then there's been 4 concept stores so far opened up. But -- so it is ongoing, and the plan is the same, and there will be a decent amount of stores opened here in Q4 as well, not just in Japan, but in general, I guess, you can see that out of our guidance that there will be a relatively bigger number of stores opened in Q4 than in the first couple of quarters. So, yes, Japan on track.
Alexander Lacik: And then your third question on India, there is nothing to report on that yet. We're still working it.
Operator: And last one in the queue with a follow-up question is Kristian Godiksen from SEB.
Kristian Godiksen: Yes. Can you hear me now?
Bilal Aziz: Yes.
Kristian Godiksen: Yes. Okay. So the 2 questions would be, first of all, which routes would you -- could you be evaluating in terms of the next steps in China? That would be the first question. And then the second question is, if you could give maybe some more flavor on the reasoning for the narrowing in the gap between the like-for-like for the franchisees and the Pandora-owned stores in the U.S. and maybe also in general, give an update on the pipeline of doing forward integration and then hence taking over franchise stores?
Alexander Lacik: The narrowing of the gap, I mean, it's probably ongoing conversations as we've discussed in the past of them making sure to put the right amount of people in the stores, having the right level of inventory. I think those are the 2 main explanations. And yes, I think that's probably it. We've had a good investment program in terms of media and all of those programs in the U.S. this year in particular. So maybe they're also enjoying a little bit of that windfall from a traffic standpoint.
Kristian Godiksen: Sorry, Alex. So basically, they are just finally listening because I guess you've told them that the last many quarters as well on those 2 initiatives.
Alexander Lacik: But because we don't have that many tools when you talk to the franchisees. The asset that we discussed is the location, is the merchandise and is the people that are serving the store. And they've underinvested in that space. So we haven't done anything different, honestly. So okay. And then on the forward integration, I think we have a number that suggests it's a point every year, give or take. And when the contracts run out, that's kind of when the conversation then ends up in either left or right. So there's no change to that plan. We're not on an accelerated path or anything like that. We're not keen on paying goodwill, as you know. So when the contract runs out, then we have those conversations. Yes, steady as she goes.
Kristian Godiksen: Cool. And China?
Alexander Lacik: China, well, I mean, listen, in the past, I've kind of been quite clear that I don't particularly care about what happens outside our own 4 walls because our job is to fix the brand. In that respect, nothing has changed. We still keep down that pathway. Now, I do have to admit that the macro has been, let's call it, unhelpful in the recent quarters. Also, if you look at other companies reporting in China, I think they've had a quite rough ride in the last few quarters. So that's clearly not helping us. But we stick to our path in China, trying to crack it in Shanghai. As I said in the past, and it still holds that there is a separation in the performance in Shanghai, still the absolute levels are not enough to say let's go into other markets in China yet. So it's...
Kristian Godiksen: It's just when you say you're currently considering the next steps on the journey. Maybe just a bit confused on what that potentially means then?
Alexander Lacik: Maybe I think you're reading a little bit too much into that, to be honest. The next step is, obviously, the moment we get critical mass of traffic into Shanghai, then we are preparing now, okay, which are the other cities that we would consider going into. That's probably what we meant. Maybe we were a little bit unclear on that.
Kristian Godiksen: Okay. So it's not looking into potential partner or doing more structural changes? [Audio Gap] Sorry?
Alexander Lacik: No. The answer is no. There is no such thing. At least that was not the intention of the sentence. Maybe that was -- I'm sorry, that was unclear. But it's essential -- yes.
Bilal Aziz: Great. On that note, thank you very much, everyone, on the busy day for taking time with us. Any questions, the IR team is around, please get in touch, and have a great day.